Operator: Good morning, and welcome to the lastminute.com Q4 and Preliminary Unaudited Full Year 2025 Financial Results Conference Call. Today's call will be hosted by Julia Weinhart, Head of Investor Relations, and joined by Alessandro Petazzi, Chief Executive Officer; and Diego Fiorentini, Chief Financial Officer. [Operator Instructions] Please note that this call is being recorded. At this time, I'd like to turn the call over to Julia, Head of Investor Relations. Please go ahead.
Julia Weinhart: Thank you, Valentina. Good morning, everyone, and thank you for joining us for our Investor Relations call this morning. We value your continued support and are pleased to present our latest developments. After the presentation, we will be happy to address your questions. With that, I hand over to Alessandro now.
Alessandro Petazzi: Thank you. Thank you, Julia. Thank you, everyone. Good morning. Thanks for joining us. We have a lot of positive ground to cover today. We're commenting today the final quarter, but also the preliminary unaudited full year results. And I think you've come to know me throughout this year as we complete my first year as CEO of the company. And you probably know that I normally do not like to be blowing my own trumpet, but it is a real pleasure indeed to be presenting such a strong set of results, I would say, quite exceptional, to be honest. If you follow our industry closely, you know that the period from October to December is the lowest from a seasonality point of view. But in terms of year-over-year comparison, actually, Q4 was the strongest period of the year for us. But in general, if we take a look at the whole 2025, we really -- we outperformed the market. We grew our market share in core markets, in the expansion markets in which we started investing this year, we hit and then exceeded the expectations we had and the guidance we already raised in Q3, by the way. So achieving double-digit growth in both revenues and adjusted EBITDA. So as I said, at the very beginning of this journey, I think we're the kind of company that can grow top line, bottom line and cash generation, and that's exactly what happened in 2025 with the holiday packages continuing to be our primary engine and the strategic focus of the company. I would say that we really had a step change also in capital discipline. There's been criticism by some investors in the past about the fact that this company was generating a lot of volumes, but maybe not so much in terms of cash generation. And I think that we can say confidently that this has also changed this year with cash flow doubling compared to 2024. And it's not a one-off thing. It's there to stay. So this is definitely something on which we think the next year will allow us to grow even more. Again, it's not just because the market has favored us. It's something that came from decisions we took over the year, sometimes not easy decisions, but really aim to put the company in a stronger position to be focused on what really matters, what moved the needles. We reorganized the internal structure to allow us to work more efficiently. We made clear calls on where to focus and where not to. We set clear priorities, define what we wanted to do and laid out a 3-year outlook to guide us there starting with already strong execution in 2025, which is the foundation of the next phase of the growth of this company. So 2025 has a clear direction and the focus now is carrying on that energy into 2026. I think it's a very good momentum to enter '26 on such a strong tailwind, and we plan to continue that. So if we look at the numbers a bit more closely, you can see this slide, the financial performance for both the quarter and the full year. And you will notice that the quarter has been growing even more than the full year. So 23% growth on revenues. Adjusted EBITDA, very positive at almost EUR 9 million and adjusted EBITDA minus CapEx, which actually was positive, again, as a proxy of the cash generation even in the fourth quarter, which normally because of the working capital dynamic of our industry has been a quarter in which traditionally we've been having negative free cash flow and negative EBITDA minus CapEx, but not this year. And for the whole year, I think the picture then is pretty similar, 15% growth in revenues, more than proportional growth in adjusted EBITDA. We'll see exactly why and how over the next few pages with our CFO, Diego. And again, let me insist on adjusted EBITDA minus CapEx as kind of a proxy of cash flow, even if we will then take a look at the cash flow in detail later on, but we can say that this number already doubled compared to last year. So again, it shows the strong operating leverage that we currently have in the business. And I would say that the business as a whole is now operating at a new level of financial strength and cash conversion. 2025 was the first year like that. 2026 will be the second one, and we can say that we will confidently move forward in that direction in the future. And with that, I hand it over to our CFO, Diego Fiorentini, to take a closer look at the numbers.
Diego Fiorentini: Thank you, Alessandro, and good morning, everyone. As you know, Q4 is seasonally the least relevant quarter for our sector. Despite that, we delivered a very strong close of the year. When we last spoke, we highlighted a clear acceleration in Q3, and I'm now pleased to say that this momentum further improved in Q4. Overall, Q4 revenues reached EUR 77 million, up 23% year-on-year. This brought full year revenues to EUR 361 million, up 15% and clearly above our guidance. Importantly, all 3 core segments delivered a Q4 year-on-year growth above their respective full year growth rate, confirming the strength on the underlying trend. Looking at each segment, Packages, our core product, grew 16% in Q4 and 11% for the full year, demonstrating resilience and solid execution. Flights delivered an outstanding performance, up 48% in Q4 and 31% for the full year with strong acceleration in growth and continued market share gains. Hotels remain solid and consistent, growing 22% in Q4 and 21% for the full year. Finally, as a reminder, the other segment includes the cruise business, which was discontinued in early October. As a result, Q4 reflects the absence of that revenue stream. The strong top line performance translated into solid profit growth. In Q4, gross profit increased 17% year-on-year, while it grew 10% for the year. As already anticipated, gross profit growth was below revenue growth, both in the quarter four and for the full year. This reflects higher investment mainly in performance marketing aimed at supporting acceleration and expanding market share. Let me be clear on this. We increased investment where we saw measurable and accretive returns. Our performance marketing model remains highly data-driven with strict return on investment thresholds and continuous optimization. Looking at the segment breakdown, Packages remained our largest contributor, delivering EUR 20 million in gross profit in Q4, up 14% versus the same quarter last year. Flights continue to let the term -- in terms of growth rate with gross profit up 31% year-on-year, confirming strong operating leverage and scalability in the segment. Hotels remained broadly stable year-on-year with higher marketing investment made in the quarter. Finally, while the other segment showed a year-over-year decline at the revenues level, the dynamic reverses completely at the gross profit level. With the discontinuation of the Cruise business in early October, the segment now reflects a leaner perimeter and delivered a positive gross profit growth in the quarter. On Slide 8, you can see in more detail the composition of our cost structure between variable and fixed costs. Variable costs included a [ 36% fixed ] increase in marketing spend, supporting gross travel value growth momentum and made possible by our stronger financial position. On the other hand, fixed costs were up just 6% in the quarter, mainly reflecting higher variable compensation as we achieved and exceeded our targets. Excluding this performance related component, fixed costs would have been down 13% year-on-year, reflecting the full impact of the cost measures we previously implemented. Looking at the full year, the picture is consistent with fixed costs were broadly unchanged in absolute terms compared to 2024 despite double-digit revenue growth. Taken together, higher revenues and disciplined cost control drove a 4% point reduction in the fixed cost ratio, highlighting clear operating leverage and improved structural efficiency. This slide takes a closer look at the profit and loss, giving you a bit more detail on what we just covered. In Q4, adjusted EBITDA reached EUR 8.8 million, up 62% year-on-year. This strong increase reflects our operating leverage, which amplified profitability even if we continue to invest in marketing and sales. Net result benefit from lower financial costs compared to last year as well as a positive contribution from taxes following the remeasurement of the deferred tax asset. Closing at EUR 1.9 million, earnings per share came at EUR 0.18 compared to a small loss in the same period of last year. Looking at the full year, as we already discussed, revenue grew 15%, while adjusted EBITDA increased 33%, with both metrics comfortably exceeding our guidance. Net result came at EUR 11.6 million, slightly below last year, reflecting the one-off costs related to the cost reduction measures we implemented. That said, the story on operating cash generation is very positive. Adjusted EBITDA minus CapEx, a useful proxy for cash flow, doubled over the year, increasing from EUR 16.2 million to EUR 32.4 million. During our third quarter call, we got some questions on cash generation. So we decided to give a bit more detail to really explain what's driving the numbers. Free cash flow for the year came at EUR 27 million compared to a negative EUR 4.7 million in 2024. And even if you strip out the effect of working capital, which, of course, moves with the gross driven value, free cash flow was still prepared versus 2024 even after accounting for the one-off costs related to the cost reduction initiatives. Our free cash flow to EBITDA conversion has improved significantly, moving from a fixed effectively 0% to 58%. And we are looking to push this further in 2026, building on the strong progress we have already made from 2024 to 2025. Finally, the net financial position stood at almost EUR 32 million, up from EUR 19 million at the end of 2024. As we speak, we have already repaid all the short-term debt that was outstanding at the end of 2025. With this, I'll pass the word to Alessandro, and I'll be happy to take any follow-up questions during Q&A.
Alessandro Petazzi: Thank you. Thank you, Diego. So basically, to wrap it up, I mean, you probably don't even need me to highlight how strong this set of results is from 3 points of view, right? I mean the first one is that we did better than we planned, I would say, across the board. We exceeded the guidance that we already raised in Q3, and this is visible at the revenue level, where we grew 15%, where we had a target of low double digits and even more so at the adjusted EBITDA level, where the growth was 33% compared to a 20% guidance, which had been reviewed also pretty recently. And again, these results are, I would say, a combination of a positive trend, right? So it's not just Q4, it's more the entire year across product segments, across geographies. We grew in the core markets. We grew in the expansion markets. And we'll see a bit more details about also our product initiatives in a second. So very robust starting point for 2026. And finally, as Diego mentioned, we really closed the year with a significantly stronger balance sheet, right, driven by both EBITDA growth and a very disciplined approach to CapEx and working capital. So yes, we're delivering on our commits on the one hand, but I would say, even more importantly, we have this trajectory now of our midterm plan on which we are executing against. And the growth is just, I would say, at the beginning. So for me, it is really important also as we move into -- so we talked about the financial results. But I think it is also important to realize that these results do not happen in a vacuum. They happen because there are industrial choices that we make underneath and things that we are working on and that we already delivered and then they translate into these results. So we've decided starting from this quarter and going forward to give you a bit more of a chance to take a look under the hood of what we've done and what we're doing to make these results possible. So the next section, when we say strategic direction, this is it. Well, first of all, the overall strategic direction, I will not spend too much time on this because we insist on this every single time. You've seen this page a few times on Page 13, the pillars of our strategy are strengthening the market presence, evolving our Dynamic Packages product, making sure that we are a travel companion that is relevant for our customers, not only in the moment in which they do the holiday, but really throughout the entire journey and making sure that we have clear idea of what each brand in our portfolio stands for and what is the type of product and audience that are relevant to that with AI, I would say, being the glue that takes it all together as an enabler for the next phase of scaling up. But let's be a bit more concrete, right? Because this could sound like just a framework, but what about the execution on this framework and the things that prove that we're getting there progressively. Well, first of all, the first thing that I'm really happy to announce is that we have indeed launched our free multi-tier loyalty program, which, as you can see, we decided to call PRO, which I think is a nice acronym for perks, rewards and offers and also hints to the idea that with that, you are indeed traveling like a pro. So the concept is simple, and the idea is that the more our customers travel with us, the more benefits they unlock over a 12-month period. Some of these benefits are special discounts because indeed, this is something that people still expect from a loyalty program, but also, I would say, perks and dedicated offers. So it's going to be a mix of financial rewards, I would say, and more qualitative elements, which people have proven to enjoy and also games that they can play that did not have an immediate monetary value, but are designed in order to improve the psychological effect of happiness on our customers if they come back. So the idea is that, again, we want to convert people who maybe got in touch for us for the first time with a price-led approach and make them become loyal customers. We started that in Q4 2025 in the U.K. and progressively, we are rolling that out in all of our markets. But now it's not just about what we did, I would say, is also what we achieved. So if we take a look at loyalty of our customers, you can see on this page that the bookings from repeat customers in 2025 already grew 27% compared to 2024. So clearly, there is -- and this was before the launch of the loyalty program, obviously. So throughout the entire year. So this is very important. This tells us that our brands already resonate with consumers and our value proposition convinces them to come back. So that is something that happens across the board on all touch points, web, mobile and app. But obviously, I would say that the app is at the center of this travel companion bit of the strategy as the go-to device and the go-to product for people who are familiar with the brand and loyal to us. And I would say the numbers have been really interesting on that side as well. I think we never talked about these numbers, and I think it's actually important to give you a sense of how relevant the app already is in our ecosystem and how even more relevant will become in the next few years. We had a 12% growth year-on-year of app downloads to 1.6 million. People who download the app then also use it. We have over 600,000 monthly users for the app. And it represents an important engine of bookings with 20%, 21% of booking shares. And don't get me wrong, we don't think that the app's value is just in terms of allowing people to book a holiday. Yes, that's also there. But let's be honest, they can do it on a variety of touch points. We think that the app value is really as a travel companion. But of course, as you get more used to it and you use it more often, then it becomes natural once the app has all the information about you, it becomes easier also to book there your second or third trip with us. And as we talk about touch points and as we talk about how consumer behavior is evolving in terms of looking for holidays and booking holidays, I think it is really important to take a closer look at AI and how AI is changing the way we all search and get inspired online. This is a topic on which I got a lot of questions and all the one-to-ones I had with you guys over the past few months. And so I thought it was appropriate to take a closer look. And a question that I get all the time, even if it's not always articulated this clearly, but the concept behind this is, okay, what happens to your business if Google search becomes irrelevant? What happens if users search via chatbots, they never click on that, they never land on your website. What happens if agents do all the work on behalf of the customers, and therefore, they're not necessarily influenced by your brand. What happens? And sometimes I get that question in a much more simpler form, which is, well, but now progressively, everyone is looking for inspiration about their travels on ChatGPT. So what happens to people like you, what happens to online travel agencies, right? There's a complete disruption of the business model. And I think it's fair because I think that potentially, you could say, well, if you lose the entry point, then ultimately, you lose the customer. But actually, the evolution we're seeing is much more nuanced than this. And I think it's important to understand certain characteristics and dynamics of our market to really understand what we're talking about here. So on the next page, so first of all, a bit of fact checking, right, how the search and discovery scenario is actually evolving. So historically, I would say, for over 20 years, it kind of stays the same, right? People go to Google, they type holiday for 4 in Mallorca, and thanks to SEM ads or SEO, free positioning, companies like us, they show us at the top, right? So for sure, we're seeing a shift from -- even if typing keywords into a bar, it's still the vast majority of searches. Of course, people are having more conversations with chatbots such as ChatGPT and Gemini by Google. So is this the end of paid ad? Is it the end of Google search? Will AI players become the new OTAs when they eat your cake and your company will become irrelevant? Well, it's a bit different than that. Well, first of all, Google still holds a dominant position. If we're talking about Gemini and AI overviews, basically, the vast majority of customer interactions with some type of AI chatbot is indeed managed by Google. And Google has been adamant that their business model is an ad-based one. They have no intention to become an OTA. For those of you who've been following the sector for a few years, this sounds like Google Flights all over again when Google many years ago now launched Google Flights. A lot of questions like, oh, then the OTAs are done. Google is going to allow you to look flights. And actually, Google's business model has always been to be able to surface the right type of information to the right type of audience and connect that audience and that information with the right advertisers paying them their bills, right? And their adamant, their business model will continue to be absent and also in an AI-first world, their job will be to connect demand and supply. And when they say supply, it means companies like us. Now obviously, other players are emerging. So there's new traffic sources emerging. OpenAI and ChatGPT are the obvious ones. I think it's really interesting actually that because up to now, obviously, these companies have been burning through a huge amount of cash, and that will continue for some time. But at some point, they will also want to understand how they can better monetize what they're doing. And so far, they try to have a premium -- a freemium kind of model with a lot of stuff for free and then the possibility to pay, let's say, $20 a month if you want something more or even more if you want more premium features. But it's pretty clear that it's a pretty niche market, the market in which people are willing to pay for that and potentially they're realizing that ad money is bigger. So I think it's interesting that they started offering ads in the U.S. Now, will this be the end of the game? Because at the end of the day, maybe the end game will be a situation in which all the players managing chatbots will have an ad-supported model. And then for us, it will be an evolution from basically having Google as the main -- as the only actually player for search to having a number of players that we interact with that are really strong on the inspiration phase of the journey and where we can place our ads to make sure we're relevant there. This is one possible scenario. But obviously, we don't have a crystal ball. So it's so early days. It's very difficult to say how the things will evolve. New players might emerge, new models might emerge. So let's say that even if the business model remains or the business model changes in a way that actually it will be customers to pay for the service and there will be no ads, which again, something that right now, we really don't see happening. But even assuming that, that might happen, we believe that lastminute.com is very well positioned to be a winner in this new phase of AI growth and to thrive, not just survive, I would say, in this evolving landscape. And why that? For a number of reasons, which you can see at Page 18. So on one hand, from a technical point of view, we're building an AI-friendly infrastructure, embedding our services where the conversation happens. So you might have seen the PR that we already launched our Flight MCP server in Q4. Now, I get it that it might be a bit technical. The easy way to say that is that it's kind of a universal plug. It's kind of the evolution of APIs, if you want. And that allows LLMs such as Gemini or ChatGPT or Claude to plug directly into our real-time inventory and pricing. And this is very important because it has the power to ensure that when an AI agent moves from the inspiration to actually booking a holiday, we are one of the brands that are surfaced and the agent has directly access to our tariffs, right? So it's very important. The first use case that we -- that this technology enables is the fact that we have an app in the Claude ecosystem. And it will be also very soon available on OpenAI and ChatGPT as well. So I saw that in the insurance sector, a Spanish start-up made a huge wave in the industry to say, "Oh, we have an app on ChatGPT. And so people were like, wow, this company is the one who's going to benefit from all people starting to book their insurance directly on ChatGPT." Well, we're going to be there in a few weeks as well from a travel point of view. But again, this is an infrastructure play. So the MCP, this thing of having the app on ChatGPT, the app on Claude is, I would say, just one of the use cases. There are even more interesting ones that this infrastructure enables. And this is the type of investments that we can do. And of course, other very large companies such as Booking.com or Expedia can do. But if you are a small hotel chain, probably you're not able to do that, right? So that already, I think, creates a most in terms of the winners, the large companies versus the really small ones. The second one is that from a product point of view, we used to be a distribution platform, which was distributing mostly, we can call them commodity products such as flights and hotels. But in reality, over the past few years and even more from now onwards, we have our unique proprietary packages at the core. And so we have these end-to-end holiday packages, which are not just available on any hotel website or airline or even their MCPs. This is a lastminute package. You can only find it on lastminute. And when you find it on lastminute, I don't necessarily mean the website. I also mean the MCP server. I mean everything that is lastminute. So we are the producer of that, not just -- it's produced by Netflix, if you want, not just distributed by Netflix, if you allow me the analogy. And by owning the product itself, we are the provider of this value proposition. Now, people might say, well, but basically, a package is just putting a flight and a hotel together and AI agents can do that themselves or they will be able to do that. And I'm definitely -- I'm not in the camp where people in the industry say, "Oh, but that's more complex. AI is not able to do it." I don't think that's the case. I think any kind of technical complexity, AI will be able to get it. So that's not the point, maybe not now, but in the not-too-distant future, for sure, for sure. That's not the point. So I'm not saying that what we do is so complex, AI cannot do it. What I'm talking about is business models and regulation, right? Because the key thing here is that in order to create a package, we have commercial agreements with all the hotel chains from the big ones, Hilton, Marriott, to the really small ones with independent boutique hotels. We have commercial agreements with all the airlines. We have commercial agreements with transfer providers, with activity providers, with the tons of players in the ecosystem. And for each of those, we have access to those called opaque or opaque or nonpublic rates, which can be used only if you create a package. Now, again, it's really not the business model of Google or OpenAI to start replicating these deals with all these players. And then it's not their business model to be in-charge of customer service when something goes wrong. You get to a lot of times, you book a flight and then the flight is disrupted, it's rescheduled. We are in-charge of that. If there's a partial refund, as the provider of the package, it's our responsibility. All these companies want nothing to do with them. It's the opposite of their business model. They want again to surface someone like us to serve the customer. And it's not just because they don't want to do it, but it's also because from a regulatory point of view, once you are the provider of a package, at least in Europe and in the U.K., you clearly have responsibilities of that. And again, to have a license, you have -- so this is definitely not something that is interesting for this company. So again, AI and chatbots excelling inspiration, but we remain the partner that delivers the actual holiday. So for sure, AI can help you plan, know the context and give you great suggestions, but then to sell a protected package to have the ATOL license in the U.K. to manage the customer operations and service, you need to be a player like us. So I hope that this clarified a few things. But now talking about AI as an opportunity, right? Because let's focus on why this is actually good for us. And I think it's good for us from 3 points of view, and these are the 3 pillars on which we are working on. So internal productivity, of course, everyone gets it. We are embedding AI company-wide to boost, I would say, productivity of our employees. We have already automated a number of processes, and we are working to increase that. We have a new AI automation department under our Chief Data Officer, precisely in charge of that to collect all the initiatives that are happening already around the company and to give a very clear strategic direction using a mix of internal and external tools. Of course, we started with a big project on our customer service side, which really is aimed also to improve the customer experience. So again, I don't see historically, right, you were seeing productivity and customer experience almost as a trade-off. You need to invest more if you want to make customers happy. In this case, I would say, yes, we are investing, obviously, on technology, but then the efficiency will come also with a bigger effectiveness, I would say. So we're also using AI to rethink the travelers' journey in terms of personalization. So the kind of things, the kind of experience that you have right now on ChatGPT, there's no reason why you cannot have it on our website potentially, and in terms of providing that type of, I would say, consultancy, if you want. And then again, as I was saying, Gen AI-powered customer service allows to provide high-quality support 24/7 in all languages initially in the chat and potentially then also with voice. Last but not least, we need to be present where the conversations happen. And therefore, that's why we are integrating seamlessly in the various chatbots. As I was saying, Claude is the first example, but the MCP servers that we now released for flights and we will expand for it to include Dynamic Packages will then be on all the relevant chatbots in the market. And I would say that because this is so interesting and because there's so much happening in the company right now, probably over the next few quarters, we will give you some more insight on the things that we are progressively deploying as they go into production because I think there are so many interesting things that I'm really excited to share them with you. And as we complete this very passionate talk about product and industry, let's go back on Page 21 to what it means from a financial point of view. So our 2026 outlook, you might have, by the way, noticed that this year, we're giving you an indication on what we expect at the very beginning of February. Last year, considering it was my first year in the job, I needed a bit more time to take a look at our budget. And so we gave you guidance much later towards the end of March. So while we're doing that, we think that we're going to keep growing more than the market. So that's going to be constant. We still expect to be growing market share at the expense of more traditional players in both core and expansion markets around Europe. And we expect the growth to be at 10%. Now, you might be -- I can anticipate some questions you might have as soon as we open the floor in a few minutes, which is, well, this year, you grew much more than proportionally at the adjusted EBITDA level than on revenues, why? For 2026, we're forecasting the same type of growth. And I would say there are various considerations here. The first one is that from a strategic point of view, I think that this company underinvested in its own its own brand actually for many years. And this is something that potentially in the short term maximizes or helps maximize EBITDA, especially if revenues are a bit stagnating, but it's not something that makes sense in the long term. And I would say that by excessive short-termism, companies die, right? And this is not us. We have the possibility because we're growing the top line, we have the possibility to also grow the bottom line while still making strategic bets and strategic investments. And one of these is that we will significantly expand our investments in our brands in 2026, again, to -- and these are investments that maybe do not necessarily have an immediate return on revenues. It's different from performance marketing clearly, but they do have a return on a foundation for the future on customer loyalty. So we're really building the steps for our continued long-term success. The other element is that, here, we're talking about it more -- a bit more of a technical one, if you want. We're talking about the adjusted EBITDA, which was EUR 55 million. This year, you might have noticed that actually below the adjusted EBITDA, we had over EUR 8 million of one-off charges. And obviously, we do not expect one-off charges to -- by definition, they're one-offs. So we don't expect such a value in 2026. So actually, the growth of the reported EBITDA will be more than that because of this element, right? And if I take a look at the cash flow, I would say even more so because on one hand, our CapEx reached kind of a plateau in 2025. So we do not expect a growth in CapEx for 2026. And because we're growing the top line and the GTV, clearly, because of the nature of our working capital dynamics, we will also have a very positive effect from working capital on our cash flow. So if you combine all of these effects, the growth of adjusted EBITDA, the more than proportional growth in reported EBITDA, stable CapEx, so that growth will go straight to the, let's say, bottom line of cash generation, right? And then you mount on top of it the positive net working capital effect, then you have a company that we generate in 2026. So very confident to generate even way more cash flow than in 2025 while still growing the top line. So I think it's a very, how can I say, reassuring and positive forward-looking message, both from an industrial and from a strategic and financial point of view. And with that, I leave the floor again to Julia to wrap it up with our financial calendar and then to open the floor for questions.
Julia Weinhart: Thank you very much, Alessandro. On Slide 23, we have just wrapped up our latest financial publications you can see and the conferences where we participate in 2026. We will now begin with today's Q&A session, starting with the live questions followed by submitted the ones in webcast. Please note that like always, we might group questions together and they might be slightly rephrased. In line with our privacy and data protection policy, we remind participants that stating your name is optional when asking a live question. With this, I hand it over to Valentina now to start with the first live questions.
Operator: The first question comes from Volker Bosse from Baader Bank.
Volker Bosse: Volker Bosse, Baader Bank. Yes, congratulations on the great set of results and the convincing outlook. I would like to start with 3 questions, if I may, starting with Page 6, where you give the breakdown of sales growth by product lines. And I mean, in the past, we were used that the strongest growth comes always from the Dynamic Packaging system. Now we see flights up 31%, hotels 21%, which are, of course, great results, but they are exceeding Dynamic Packaging growth. So therefore, my question, is that a structural change? And what has been the driver for that outperformance of hotels and flights? I mean in the past, you spoke about flights as a commodity, and we do not push that and therefore, growth will be lower. So my question would be, how should we look at the growth by the product lines if we model our year 2026 and the following years, just the growth guidance you can give here in that regard? Second question, if I may, would be on your guidance '26. Yes, you always took my question, why EBITDA -- adjusted EBITDA just in line to sales. But you -- thanks for the explanation, more marketing investment, understood. But a bit more details. How do you plan to spend more marketing? Which channels you will use? Will you also use offline channels or online only? Or mean a bit more on how your marketing budget will be spent going forward? And last but not least, a bit more general one. You speak about a robust demand for travel products, which helped you to generate great results on top to your, of course, company-specific initiatives. But my question would be on your expectations regarding market trends in 2026. What is the growth you expect for 2026 from the market side? Do you expect less tailwind for '26? I mean we see that unemployment rates are going up means job uncertainties are rising on the back of weak macros all over Europe basically. But just curious to get your view on these things and how this would affect the travel industry potentially.
Alessandro Petazzi: Volker, this is Alessandro. Thanks for the questions. Actually, we had said last time that it would be better to have one question at a time out of respect of the many people who write questions. So we have a lot of that. Because of that, I'll answer 2 of your questions, the first 2, which are really company specific, and then I'll leave the floor for other questions which are company specific. If we then have time at the end, happy to also answer the one on market dynamics, but I would prioritize the others if you allow. So I would say, revenue growth, well, maybe there was, I would say, a conceptual misunderstanding here. What we say is that if we have to bet 5, 10 years down the line, the more we want to be a product-led organization. We want to have a differentiated product that is just specific of us of lastminute, and that's the package. And the evolution of the package, flight plus hotel, it becomes potentially even something more. Now -- and we want to have a more curated approach on the experience. Now, does that mean we're abandoning flights or hotels? Absolutely not. We're very happy about the performance. I would say that for flights, it was about catching up with the fact that, that product had been neglected a bit over the past few years. But maybe in another time, we can go into the details of how we managed to grow so much. We improved the unit economics. That was again done. That's why I want to try and give more details about the things we do internally because then they explain by having a lot of testing on and changing our pricing algorithm. We improved that. We were able to sell more ancillaries and therefore, we were able to have better discounts on Meta channels. That increases the volume. So we will continue to do that as long as possible, right? So in terms of the market evolution, maybe this is something that will change in the next few years. But as long as it doesn't change, as long as there is an audience interested in our flight product, we will continue believing in that, investing on it, improving it and therefore, growing it. So going forward, I would say I expect the growth to be kind of, I would say, similar across our various segments for 2026. I don't necessarily expect one specific segment to really outperform. Clearly, the one difference will be the so-called other because other in 2024 and before included the cruise business, which, as you know, we closed in Q3. So obviously, that number will be smaller going forward. So that's the first one. The second one was about marketing, I guess. Sorry, there's another consideration. What we report as packages is a mix of our own product, the Dynamic Packaging and the fact that especially in Germany with the brand Weg.de, we distribute packages by third-party tour operators to either tour and stuff like that. This is a minor component of the business, so don't think much about that. But of course, strategically, again, that's something on which we are distributing a third-party product. And so the core is our own product. Now marketing, as I use the word brand rather than marketing, not on purpose, right? Because basically here, performance marketing is when you spend money, especially on Google or Meta to drive immediately traffic that is already, let's say, warm, ready to potentially book a holiday, searching for something specific, maybe tomorrow already, searching something in ChatGPT and then it's being ready to book their holiday. Performance marketing, of course, we will increase that in the core markets, in the expansion markets. But the increase there is very data-driven. Every extra euro we spend brings more than EUR 1 in terms of profit. So it's always accretive from an absolute number point of view. What I was talking about here is differently so-called brand, meaning the investments that are not necessarily meant to drive an immediate conversion, but something that builds brand awareness and loyalty over time. Does this mean offline, does this mean out-of-home or TV? Not necessarily. You can do a lot of that on digital channels. But for example, we're talking about YouTube videos on YouTube, on TikTok, on Instagram, but stuff that talks about why lastminute is your provider of choice, not necessarily book now for this deal, right? So it's a different thing. And historically, we haven't really done it a lot over the past few years. I think now that we can afford it, so to say, with the cash flow that we generate, it's now the time to do that investment. And with that, I would pass on to the next question.
Julia Weinhart: Thank you, Volker. Valentina, do we have any other live questions in line?
Operator: We don't have any more questions from the phone. Back over to you for questions from the webcast.
Julia Weinhart: Okay. Then we will now move to the webcast. I will start with the first question we have received today. Will the growing adoption of pay by installment options for Dynamic Packages have an impact on your working capital? Have you structured partnerships with external providers, for example, Klarna, Scalapay, that advance the full transaction amount to you upfront, leaving the credit risk with them?
Diego Fiorentini: Thank you, Julia. I'll take this one. Yes, we do have agreements with players like Klarna, Scalapay and PayPal. And those partners are offering the current payment solution to our customers even after departure. In these cases, we are getting the full value of the transaction upfront, and we are not taking any credit risk on our balance sheet. This solution still amounts to a few percentage points of our gross travel value. On the other hand, we still -- we are offering to our customer, our internal solution, both deposit and balance, so deposit upfront, balance before departure or deposit and payment by installments. These options are still with no credit risk for us because our clients are required to pay everything before departure.
Julia Weinhart: Thank you, Diego. The next question we have received this morning. Unfortunately, you only communicate the planned change in EBITDA for 2026, but not for the net result. Net result will also be positively affected by missing one-offs that should be communicated.
Diego Fiorentini: Thank you, Georgia. Yes, yes, this is a fair point, and thank you for highlighting it. Our primary guidance focuses on revenues and EBITDA because those are the clearest indicator of the underlying operational performance of the company. But it is correct. The next year, we are not expecting significantly one-off item like we had in 2025. For this reason, the net profit will -- we expect it to be higher than in 2025. We'll be in the position to provide greater clarity during the year as the year progresses.
Julia Weinhart: Thank you, Diego. Moving to the next question. Dynamic Packages delivered strong growth to EUR 250 million in revenues. Can you decompose this between B2C and B2B white label channels? What's the percentage of Dynamic Package revenue now comes from B2B2C partnerships?
Alessandro Petazzi: Thank you, Julia. Yes, basically, you've seen that our packages grew from -- mostly from the new pricing and approach to marketing. The one thing that we're not disclosing now the precise distribution mix, but there's one thing that I can say, and I think also hopefully correcting what was maybe a misunderstanding in the past. We love our B2B2C partnerships. We love our white label partnerships with players like Booking.com and a lot of companies for which we deliver their welfare solutions, holiday [ cards ], other players. We love them, but we think that strategically, it's important to invest in our own B2C brands where we're really building an asset. So the one thing that I can tell -- this is to say that when we say, well, we should increase the percentage of our revenues that come from our B2C proposition, I would say, yes, but we achieved that by making sure that our B2C proposition grows more than proportionately than the other, not by making sure that the others remain either flat or even decreases, right? So in that sense, I can reassure you that indeed, the majority of growth in revenues for our Dynamic Package product in 2025 came from our own B2C brands. So indeed, the proportion of B2B2C decreased as a part of the mix compared to the latest numbers we had disclosed in 2023 and 2024.
Julia Weinhart: Thank you, Alessandro. Moving to the next question. Flight revenues accelerated to 31% growth in the full year 2025 after more muted performance previously. What were the primary drivers for this trajectory change? Is this growth sustainable in the future as well?
Alessandro Petazzi: Well, I think actually that I already answered this question with answering Volker's live question. And so yes, we will continue to invest in flights. Again, the exceptional growth of 2025, I think, was a function of many things, the improved pricing system, the improved ancillary products which, again, in turn, improved also the way that we showed up in meta channels, also the fact that we have a resilient traffic on the non-meta channels for flights, the fact that we started having more kickbacks from debit card providers because we started progressively having more cash. We could have a bigger portion of the payments going to airlines done with debit cards, which right now provide higher kickbacks than credit cards, and that also improved the unit economics. So it was all about basically the improvement of unit economics. Clearly, you cannot improve unit economics indefinitely, I guess, but you can still grow. Again, I would say 2025, for sure, we had also the fact that the investments was neglected and this type of activity neglected in the prior years. But yes, we expect the growth to continue at a more balanced level with the other products.
Julia Weinhart: Thank you, Alessandro. Moving to the next question. Can you please talk about your dividend plans?
Diego Fiorentini: Yes. Thank you, Georgia. I just want to remind everybody that these are unaudited results, which means that once the audit is completed in the coming weeks, the Board will propose the 2025 dividend in line with our dividend policy for shareholder approval at the end of June.
Julia Weinhart: Thank you, Diego. Moving to the next question. Cash allocation. Given the strong operating cash generation, what are your capital allocation priorities for 2026? Do you plan to accelerate debt reduction considering targeted acquisitions, M&A or invest further in technology and marketing? Could you please explain how do you think about cash generated priorities going forward?
Alessandro Petazzi: Yes. Yes. Well, basically, the first thing is that we intend to reinvest in all our strategic drivers. Brand for sure is one of them, strategic initiatives and let's say, improving our product and getting ready for this really fast-changing landscape is also part of that. We also have the idea of keeping disciplined shareholder returns through our dividend policy. So that's going to continue. But I would say more in general, I think we still feel that it's the right time now to have a bit of a war chest in a way to be prepared for whatever market scenario comes up. Basically, I really like the idea of having optionality, especially when there's so much change, right? I think when there's so much change, you want to be in a position to act swiftly if something interesting comes up. For example, we are working a lot now with AI start-ups, I would say, mostly in the AI space, but not just in the AI space, also another interesting project, which maybe we'll tell you a bit more about in the next few quarters, and if opportunities come there. So I'm not thinking about that type of transformational type of acquisition, but if opportunities arise to maybe have direct capital investments in some of these very interesting companies that are developing something that is AI first or that are developing something that is really complementary to our business model, then I want to have that flexibility. So that's what we're prioritizing now.
Julia Weinhart: Thank you, Alessandro. Moving to the next question. Your revenue outlook for 2028, EUR 450 million looks very defensive now. Have you plan to do EUR 400 million in '26 already? Can you give us an update, please?
Alessandro Petazzi: Well, guys, I would say this is a happy problem to have in the sense that if you look at this company a couple of years ago, the story was completely different, right? Revenues were stagnating, maybe decreasing. Now we have the problem of, say, oops, we're growing too fast, you're not credible in what you're saying if you're not more aggressive. So I would say it's February. There is a bit of a tendency sometimes of the market to say, well, actually, once you give a guidance in the beginning of the year. It's not -- we're not a SaaS business in which you have subscriptions, obviously, there's seasonality, there's stuff. So it's early days, I would say. We're confident that we can deliver on the growth that we talked about for 2026. The moment that this confidence translates into actual numbers, we can think about taking a closer look at our longer-term guidance. Obviously, we will have like a rolling approach to our 3-year plan. So last year, we were talking about 2025, 2026, '27, '28 plan. And later in the year, we will extend it to 2029 and give you a refresh on that based on the actual numbers. I would say, when we are past the peak of the season.
Julia Weinhart: Thank you, Alessandro. Moving to the next question. How would tax rate be negative in Q4?
Diego Fiorentini: Thank you, Julia. I think I mentioned during the call already, but happy to explain it better. In Q4, we had what is called the measurement of the deferred tax assets. Basically, tax assets are losses that we incurred in the past, but we were not able to record because the expectation for the profitability of the companies was not there yet. With the measures we have taken in 2025, we are now more confident about the possibility to use those losses brought forward. And for this reason, we have recognized these tax losses.
Julia Weinhart: Thank you, Diego. Do you consider your fixed cost base as optional at the moment? Any path to further optimize without damaging top line growth potential?
Diego Fiorentini: Yes, this is a very good question. The current cost base is something we are happy with at the moment. But of course, this cannot be taken for granted as we move forward. So we will continue to revise our cost base, especially in light of the new technology and the possibility to automate the back office and the accounting operations.
Julia Weinhart: Thank you, Diego. Moving to the next question. Thank you so much for the presentation you mentioned. No growth of CapEx for 2026. Does it mean that there was no change in your approach? Do IT app development expenses? Or have you finished the app and there is not much to capitalize?
Alessandro Petazzi: Okay. I'll take this. No, I think this would be a bit of a simplistic view. We're not slowing down development. We maintain a significant level of CapEx relative to our EBITDA. It's more that we have reached a plateau in which we think that this is the amount of money that allows us to basically keep on improving our products because there's always something to improve. Keep in mind that also thanks not just but also thanks to the usage, the more widespread usage within the company of AI tools also for coding, we expect a big productivity gain. So with the same type of cost should be able to be faster, deliver more products. So that's more the approach. We started using internally [ Claude co-brand ] with the development team, and we have a target of improving productivity of 15% on that. So that alone means that you can be actually delivering all the initiatives we're talking about without increasing the CapEx amount.
Julia Weinhart: Thank you, Alessandro. Moving to the next question. What was the one-off charge in P&L 2025 for? Maybe it was covered and I have missed it. Could you please explain?
Diego Fiorentini: Yes. Thank you, Julia. Yes, this was covered during Q2 and Q3 calls. We had 2 reorganization efforts in 2025. The first one during Q2 and the second one in Q3 when we closed the cruise business. There were no other exercises in Q4.
Julia Weinhart: Thank you, Diego. With this, we will close our call today. If there are any questions which we couldn't address today, we are, of course, available after the call. You can write us an e-mail or give us a call. With this, I hand over to Alessandro for the final words.
Alessandro Petazzi: Thank you, Julia, and thank you, everyone, for joining us. Yes, I think we talked a lot about what we've done in an exceptional -- in what ended up being an exceptional year, to be honest, even beyond our targets and expectations. And we keep on building for 2026 to make sure that we keep this momentum, and we will give you more information, not just on our financial growth, but how we get there and all the interesting things that we are working on. So stay tuned, not just for our investor calls, but also for the press releases we will have over the next few months about some industrial developments. Thank you so much, and see you next time.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.